Operator: Good afternoon. And thank you for attending today's MongoDB First Quarter Fiscal Year 2023 Earnings Call. My name is Daniel and I will be your moderator for today's call. All lines will be muted during the presentation portion of the call with an opportunity for questions and answers at the end. [Operator Instructions] I would now like to pass the conference over to our host, Brian Denyeau of ICR. Brian, please go ahead.
Brian Denyeau: Thank you, Daniel. Good afternoon, and thank you for joining us today to review MongoDB's first quarter fiscal 2023 financial results, which we announced in our press issued after the close of the market today. Joining on the call today are Dev Ittycheria, President and CEO of MongoDB; and Michael Gordon, MongoDB's COO and CFO. During this call, we will make forward-looking statements, including statements related to our market and future growth opportunities; the benefits of our product platform; our competitive landscape; customer behaviors; our financial guidance and our planned investments. These statements are subject to a variety of risks and uncertainties, including those related to the ongoing COVID-19 pandemic and its impacts on our business, results of operations, clients and the macroeconomic environment could cause actual results to differ materially from our expectations. For a discussion of the material risks and uncertainties that could affect our actual results, please refer to the risks described in our SEC filings, including our most recent annual report on Form 10-K. Any forward-looking statements made on this call reflect our views only as of today, and we undertake no obligation to update them. Additionally, we will discuss non-GAAP financial measures on this conference call. Please refer to the tables in our earnings release on the Investor Relations portion of our website for a reconciliation of these measures to the most directly comparable GAAP financial measure. With that, I'd like to turn the call over to Dev.
Dev Ittycheria: Thank you, Brian, and thank you to everyone for joining us today. I will start by reviewing our first quarter results before giving you a broader company update. But first, I want to note that we are hosting MongoDB World from June 7 to June 9 at the Javits Center in New York City. After three long years, we are incredibly excited to be able to gather the MongoDB community in person to share our vision, discuss our latest product innovations, have the community meet the engineers, building the products, and to learn from others in our community who are using MongoDB to transform their organizations and businesses. I would like to personally invite you to the investor session at World next Tuesday, June 7, please email ir@mongodb.com, if you are interested in attending.  Now back to our first quarter financial results. We generated revenue of $285 million or 57% year-over-year increase and above the high end of our guidance. Atlas revenue grew 82% year-over-year, representing 60% of revenue. And we had another strong quarter of customer growth, ended the quarter with over 35,200 customers. We are really pleased with our Q1 performance and see it as continued validation of the massive market we are pursuing, our strong product market fit and our ability to execute. Atlas continues to be our key growth engine as new and existing customers run more and more of their mission critical workloads on Atlas. In addition to the strong customer adoption Atlas, many customers also continue to self manage MongoDB, driving a strong quarter for our enterprise advanced product as well. We believe that our Q1 performance is additional evidence that MongoDB is leading the market through a major secular transition, which is still in the very early innings. Let me remind you how we see the market changing. First, the limitations of legacy relational databases are painfully obvious, developers building modern applications find that the relational database simply cannot serve all their needs. Relational databases hinder the ability to innovate quickly, are too expensive and don't scale to meet the performance demands of today's modern applications. Second, to compensate for the limitations of the relational database, there has been a proliferation of point solution databases, using point solutions creates a disjointed developer experience, a far more complex architecture with multiple data silos and higher costs in order to manage and support a myriad of different technologies. Third, in contrast to other technologies, the document model has proven to be the easiest way to work with data as it aligns well with how developers think and code, a modern and elegant developer experience, broad support for a large variety of use cases and a distributed architecture that delivers the highest levels of performance and scale differentiates MongoDB from all other solutions. The evolution of the market is in its early stages and will provide a strong tailwind to the adoption of MongoDB platform over the long-term. We are off to a strong start in FY2023 and we continue to execute according to our plan. That being said, we understand that there is heightened focus on the macroeconomic outlook because of geopolitical tensions, inflationary pressures, and the risks of a slowing global economy. Since macro related questions are dominating investor conversations it makes sense to share with you what we are seeing as well as to discuss our framework on how we plan to manage through this macro uncertainty. Starting with what we're seeing in the market, first quarter was a robust quarter for new business. Driving innovation remains a top priority for our customers and they're investing in modern technologies to facilitate this. We had strong engagement with the C-suite and our deal cycles were in line with normal patterns. The tone of our quarterly business review meetings at the start of the second quarter was that of confidence. Our sales force indicated that our messages resonated in the marketplace and they remain bullish about the opportunities to win new business. Turning from new business to expansion of existing customers, we saw a strong continued growth from existing customers in Q1. As the market went on, however, we did see a modestly lower than normal growth rate in certain parts of our business, we experienced the slow growth in our self-serve and mid-market channels primarily in Europe. The slowdown is a result of slower usage growth of underlying applications and is a reflection of the macro environment. Michael will address this dynamic in more detail. Overall, our market opportunity is robust and unchanged from when we last spoke to you. Having lived through a few macro downturns in my career, I'm confident in our ability to win workloads, even environment where IT budgets could come under pressure. My confidence is based on three reasons, first and foremost is that our customers use us for mission critical initiatives. As the economy becomes increasingly enabled by digitalization, we believe companies will continue to prioritize building custom software that provides a better customer experience, enables new capabilities or drives greater operational efficiency in their business. Consequently, the MongoDB data platform is an essential component of these applications and it's truly a critical investment priority for companies that are focused on using software to enhance their value proposition. The second reason is that we operate in a very large market and despite our success, still have tiny share. We are fortunate to have significant growth opportunity in this market, including the ability to continue to acquire new customers and expand our footprint by adding new workloads within our installed base of more than 35,000 customers. The workload by workload decision process in our market is different from most top down software purchase decisions and gives us an open-ended opportunity to increase our wallet share for the foreseeable future. The size of our opportunity and the way customers buy gives us a long runway for growth. The third reason for my confidence is that we have adjusted and executed through uncertainty before. Our sales organization knows how to build a high quality pipeline, develop strong champions and qualifying opportunities well to ensure there's high rigor in the forecasting process. And when we see conditions on the ground change, we react quickly. In the past, we prioritized positioning use cases that better resonate in a more challenging macro environment, emphasize different sales motions for different channels and change sales rep territories when circumstances warranted. It is this resilience that gives me the confidence that we can pivot should circumstances warranted. We also understand that the growth of existing applications, our platform can be a source of volatility. It is helpful to think of our Atlas business at any given point in time as a portfolio of applications. The near-term growth of that portfolio is primarily driven by the underlying demand for each of those applications. As we said many times in the past that portfolio of applications diversified across industries, geographies, customer segments and use cases. Our customers range from small startups in Asia to large Fortune 500 companies in North America with every conceivable flavor in between. As we've also said in the past, our interests are well aligned with those of our customers. When the underlying application grows in usage, which in turn delivers more value, the customer pays us more. It's as simple as that. We've historically seen strong growth in Atlas consumption across this diversified portfolio of applications. However, we also know there are some variability in the expansion of existing apps. And we've called out that variability in the past when it has had an impact on our performance. While we understand that external events can impact the growth rate of our existing portfolio of applications, our past experience suggests that any such impact is temporary. Growth of existing applications is a much smaller contributor to our medium and long-term growth than the addition of new workloads. In a world where modern applications continue to push the envelope on innovation, massive scale, we are confident that MongoDB will increasingly become the data platform of choice. Now I'd like to spend a few minutes reviewing some customer wins and interesting use cases from the first quarter. Boots is an iconic British retailer with more than 2,200 stores in the United Kingdom. For context more than 90% of the UK population is within 10 minutes of a Boots location. Early in the pandemic, the company's brick-and-mortar retail locations show order shift from in-person to online almost overnight. The company chose MongoDB Atlas to power the rapid development of an order management system to route web orders from Boots.com to its retail stores for fulfillment. Boots is further expanding its relationship with MongoDB to support transactional, search, analytics and mobile use cases while using a common query interface with MongoDB.  A leading global semiconductor company chose MongoDB's data platform to power its new business unit that focuses on next-generation technology geared towards AI, robotics and autonomous with vehicles. The group chose MongoDB Atlas to provide real-time alerts on the manufacturing floor, as well as implement search capabilities to their end customers all while improving performance. With more than 7,500 drivers, Yodel is a leading delivery company in the UK. Yodel is using MongoDB to support modern microservices that underpin their on the road and under the roof applications. These apps are designed to store, organize and manage the events at Yodel service centers, warehouses and delivery routes. Yodel estimates that these apps have assisted with greater productivity to help save time, save each driver time in a service center each day, which has enabled them to be more efficient and productive out on the road. A global luxury car manufacturer chose MongoDB Atlas as the backend for an application that collects metadata from cars, mobile applications and car owners. The application provides insight into user behavior and usage of features that have been sold with the car. The company chose MongoDB Atlas because it was looking for a platform that would enable real-time analytics on the collected data without interruption and at high performance levels from millions of endpoints. In summary, we had an excellent quarter, while the macro environment has become more challenging. We are confident as we have ever been in our market opportunity, our strong product market fit and our ability to build a seminal software company. As always, you can expect us to closely monitor the business and be judicious stewards of capital with an eye from maximizing long-term value for our shareholders. With that, here's Michael.
Michael Gordon: Thanks, Dev. As mentioned, we delivered another strong performance in the first quarter, both financially and operationally. I'll begin with the detailed review of our first quarter results. And then finish with our outlook for the second quarter and full fiscal year 2023. First, I'll start with our first quarter results. Total revenue in the quarter was $285.4 million, up 57% year-over-year. Starting with our enterprise advanced product, we saw a particularly strong quarter with 30% year-over-year growth, which was well above our expectations. To put our EA performance in perspective, we expected a sequential decline in our EA business, but instead saw sequential increase despite the renewal base being lower in Q1 compared to Q4. As we’ve discussed in the past, the size of our renewal base is a good indicator of our EA new business potential because most new EA sales are related to expansion in existing customers. So to buck this seasonal trend is an indication of the strength of the new business environment, as well as our ability to execute. Moving on to Atlas. Atlas grew 82% in the quarter compared to the previous year, and now represents 60% of total revenue compared to 51% in the first quarter of fiscal 2022 and 58% last quarter. Q1 was another strong quarter for Atlas and we continue to see strong overall in quarter expansion, consistent with historical ranges. As a reminder, we face a seasonal headwind in Atlas sequential revenue growth as Atlas revenue is based on consumption and Q1 had fewer days than Q4. In addition, as Dev mentioned towards the end of the quarter, we saw slower than normal expansion of existing customers in the self-serve and mid-market channels, primarily in Europe. In our enterprise channel, we observed typical expansion trends throughout the quarter. In addition, we saw no impact to new customer acquisition or churn just slower than normal expansion of existing customers in certain channels. The root cause of slower expansion is slower growth in usage of the underlying applications, which is consistent with a macro slowdown. This pattern is similar to the early days of COVID, although the cause of disruption was different and the impact is neither as ubiquitous, nor as severe as it was in March of 2020. To put things in perspective, the slower than normal growth in self-serve in mid-market was a little more than a 1% headwind to our sequential Atlas growth. During the first quarter, we again grew our customer base by over 2,200 customers sequentially, bringing our total customer account to over 35,200, which is up from over 26,800 in the year ago period. Of our total customer count over 4,800 are direct sales customers, which compares to over 3,300 in the year ago period. As a reminder, our direct customer count growth is driven by customers who are net new to our platform, as well as self-service customers with whom we now have established a direct sales relationship. The growth that our total customer account is being driven in large part by Atlas, which had over 33,700 customers at the end of the quarter compared to over 25,300 in the year ago period. It is important to keep in mind that the growth in our Atlas customer count reflects new customers to MongoDB. In addition to existing EA customers, adding incremental Atlas workloads. We had another quarter with our net ARR expansion rate above 120%. We ended the quarter with 1,379 customers with at least $100,000 in ARR and annualized MRR, which is up from 1,057 in the year ago period. Moving down the income statement, I’ll be discussing our results on a non-GAAP basis unless otherwise noted. Gross profit in the first quarter was $214.3 million representing a gross margin of 75%, which is up from the last quarter and up from 72% in the year ago period. Our strong year-over-year margin improvement is primarily driven by improved efficiencies that we were realizing in our Atlas business. Our income from operations was $17.5 million or a positive 6% operating margin for the first quarter compared to a negative 2% margin in the year ago period. Our strong bottom line results demonstrate the significant operating leverage in our model and our clear indication of our strong underlying unit economics. Our outperformance versus our operating loss guidance was primarily driven by our revenue out performance. We also benefited in Q1 from the timing of certain expenses, which we now expect to occur later in the year. Net income in the first quarter was $15.2 million or $0.20 per share based on 77 million fully diluted weighted average shares outstanding. This compares to a loss of $3.9 million or $0.06 per share on 61.4 million weighted average shares outstanding in the year ago period. Turning to the balance sheet and cash flow. We ended the first quarter with $1.8 billion in cash, cash equivalents, short-term investments and restricted cash. Operating cash flow in the first quarter was $11.6 million. After taking into consideration, approximately $3.1 million in capital expenditures and principle repayments of finance lease liabilities free cash flow was $8.4 million in the quarter. This compares to free cash flow of $8.4 million in the first quarter of fiscal 2022. I’d now like to turn to our outlook for the second quarter and full year fiscal 2023. For the second quarter, we expect revenue to be in the range of $279 million to $282 million. We expect non-GAAP loss from operations to be in the range of $18 million to $16 million and non-GAAP net loss per share to be in the range of $0.31 to $0.28 based on 68.3 million estimated weighted average shares outstanding. For the full year fiscal 2023, we expect revenue to be in the range of $1.172 billion to $1.192 billion. For the full fiscal year 2023, we expect non-GAAP income from operations to be in the range of negative $9 million to positive $1 million and a non-GAAP net loss per share in the range of negative $0.31 to negative $0.16 based on 68.6 million estimated weighted average shares outstanding. I’ll now provide some more contexts around our guidance. First, let me address the seasonal effects impacting Q2 revenues and expenses. Atlas revenue in Q2 will benefit from more days in the quarter compared to Q1. By contrast, we expect to see a significant sequential EA decline as the renewal base in Q2 is meaningfully lower than Q1, which means we have fewer opportunities to pursue new business from existing customers. There’s also seasonality in expenses. Keep in mind that we have some of our largest sales and marketing events in Q2, most notably MongoDB World. Second, we do anticipate that the current macro slowdown we’re seeing in self-serve and the mid-market and primarily in Europe will eventually impact all geographies and all channels. Simply put, it is our experience and our assumption that it would be inappropriate to think that a macro slowdown would be confined to the low end of the market. However, we also don’t expect that impact will be the same across all channels. So to be more specific, we assume that the lower than normal growth rate in self-serve and mid-market channels that we primarily saw in Europe in the latter part of Q1 continues and expands to all geographies for the rest of the fiscal year. Our guidance also assumes that the enterprise channel will begin to be impacted by the macroenvironment starting in Q2 and continue through the end of the fiscal year. However, we expect less of an impact in the enterprise channel because usage growth in larger customers is less sensitive and we have more ability to capture incremental workloads. For context, our assumptions about the macroeconomic environment result in a negative $4 million to $5 million impact to our Q2 revenue and a negative $30 million to $35 million impact to our fiscal 2023 revenue guide. Third, we will continue to invest in our strategic growth priorities in fiscal 2023. Over the years, we’ve demonstrated an ability to balance healthy investments in the business with improving profitability and we expect this year to be no exception. We are confident in the returns we are getting on our investments, but we will, of course, continue monitoring our returns and adjust investment levels as needed. As a reminder, our fiscal 2023 guidance assumes that post-COVID normalization of travel, event and office expenses starting in Q2 resulting in an incremental $45 million to $55 million in those expenses in fiscal 2023. To summarize, MongoDB delivered excellent first quarter results. We’re showing remarkable growth given our scale and demonstrating the operating leverage inherent in our model. We are mindful of macroeconomic environment and will continue to be transparent with investors about our thinking. We remain incredibly optimistic about the long-term prospects for MongoDB and will continue investing to fully capitalize on this opportunity. With that we’d like to open up to questions. Operator?
Operator: [Operator Instructions] The first question comes from Sanjit Singh from Morgan Stanley. Please proceed.
Sanjit Singh: Thank you for taking the question and congrats to the team on a really outstanding set of results in Q1. I wanted to pick up on some of the dynamics of how MongoDB grows versus some of the other data platforms in the enterprise software space. And so Dev, when you think about potentially heading into a slowdown for the balance of the year, how’s that sort of operationalized? I think you sort of discussed this in your script about thinking about Atlas as a portfolio of applications. To what extent is there ability for customers who may have to become more operation efficient themselves to ration usage of MongoDB the way they might do with a data warehousing solution or potentially a log analytics solution? To what extent can they do that? And just if you sort of walk through, how does the slow down potentially get reflected in the MongoDB model versus some of the other data platforms?
Dev Ittycheria: Yes. Hi, Sanjit. Thanks for your question. So what I would say is, first of all, we – the value we provide is well aligned with the value customers derive from their applications. In fact, when we talk to our customers, their development teams and obviously even the senior executives get upset if their applications are not being used sufficiently. Because by definition, they have built an application to improve a customer experience, to enable new capabilities, to drive more operational efficiency through increased automation. So the people are not using their application, something has gone wrong. So the more they use the application, the more value they’re seeing. So there’s a direct correlation between the value they get from the apps running on MongoDB and the value we get from those customers. Other software companies that you mentioned, I think are being forced to consider alternatives to be because there’s a trend where there’s a slight mismatch between price to value because as they suck in more data, it’s not completely clear how much incremental value that data is providing. So we don’t see that problem. What we do see is a second order effects of end customers, maybe slowing down the usage of those applications. It could be consumer applications, it could be trading applications, could be a wide variety of applications. And what we’re seeing are the second order effects. And as both Michael and I mentioned right now, we’ve kind of seen those effects more in the self-serve and the lower end of the market, primarily in Europe, but that’s why we’ve used some judgment to give you the guidance that we have provided.
Sanjit Singh: Yes. Thank you, Dev. And that framework was very, very useful in terms of thinking about some of the puts and takes going on for the rest of the year. As we think in this sort of new regime that’s driven by higher interest rates, which had an impact on valuation and multiples. Sort of two questions there. As you think about operating the business and sort of you mentioned as being a steward of capital, how are you thinking about operating MongoDB in the sort of newer regime with respect to the growth versus profitability trade-offs? And then the corollary to that is that there’s more software companies that might be interesting, that might look significantly cheaper than they were before. So, if you could talk to about how this might impact your thinking on M&A? That’s it for me. Really appreciate the response.
Dev Ittycheria: Sure. Thanks, Sanjit. So on the first question, in terms of how we think about the business, we frankly are remaining fairly consistent. Obviously, we’re focused on the fundamentals. We know we have a great product. We’re expanding and innovating the product set every day. You’ll hear about some great announcements next week. Hopefully, you and others on this call can attend the conference next week. And so we feel really good about our product road map and investments we’re making. And a lot of that road map is driven by direct customer feedback. So, we know that as we build these new capabilities, they’ll drive even greater adoption of MongoDB in these organizations. And we’ve also said that we have a tiny share of the market. We’re vastly underpenetrated. We have a really seasoned team. We know how to execute. And so we’re continuing to add more capacity into our sales organization across all the different geos and the segments. Now, we look at all these investments constantly. We’re constantly evaluating our investments to making sure we’re getting the right returns. And if we see a certain team not performing, we’re going to slow down investments and really dig in as to what’s going on there. And I would say that we’re just obviously going to continue to do that and be very careful. Mike and I have been around a long time, so we’ve seen the vicissitudes of the different markets, and we know that it’s important to be disciplined and maintain our focus. With regards to your second question around, you’re hinting at M&A, first, I just want to say that the organic opportunity for us is amazing. We still have tiny share. We are remaining very, very focused on growing our business. We have a huge opportunity to acquire lots of customers, and we also have a lot of headroom in those customer counts to grow our share of wallet as well. That being said, clearly, there could be some opportunities that arise. We will be very disciplined. We’ll potentially look at companies that potentially accelerate our product road map, because there’ll be a classic buy versus build decision. And we’ll also look at ways that maybe we can get access to unique talent. And maybe we’ll also look at ways to expand into adjacencies that maybe we’re in a longer-term road map that if an opportunity presents itself, that we would consider. But right now, we’re really focused on the organic opportunity because we still see a big opportunity in front of us.
Sanjit Singh: Appreciate of all that. Thanks guys.
Dev Ittycheria: Thank you, Sanjit.
Operator: Thank you. Next question comes from Brad Reback of Stifel. Please proceed.
Brad Reback: Great. Thanks very much. Maybe getting a little tactical with the first question. Any sense of what consumption trends look like in the month of May from a high level? Were they consistent with April or did they change? And did they change across the customer base at all?
Michael Gordon: Yes, sure. So just to quickly recap for everyone, what we described in terms of what we saw in Q1 was a moderation in the growth in the latter part of the quarter, particularly among self-serve and mid-market, primarily in EMEA and that slower growth in Europe. That slower growth maps the underlying usage activity of the application and is consistent with that macro slowdown. We saw very strong new business throughout and we saw no increases in churn. In May, when you kind of scroll forward and say, okay, that was the behavior at the latter part of Q1, anything incrementally changed in Q2 in May. I think the only things worth calling out in May were that slower self-serve growth started to manifest itself in the U.S. and was not contained to Europe. And then the second thing I would say is as it relates to Europe, Europe did not grow more slowly, it did not further deteriorate. And so EMEA stabilized and that’s really kind of the key incremental insight for the early May data.
Brad Reback: That’s great. Super helpful. And then, Dev, maybe from a high level, obviously, Atlas is the key to growth here going forward and has been a phenomenal engine. As you look forward, do you think it can become 90% of the business down the road or 80%. Maybe I’m getting ahead of the Analyst Day here, but any way to sort of size that up? Thanks.
Dev Ittycheria: Yes. I would say, Brad, that Atlas is the key growth engine for our business. You will expect us to definitely get to those kinds of share of revenue over time. I’m not ready to commit as to how quickly that will happen. As you know, our EA business is quite strong. We still have lots of large customers who are aggressively deploying our EA product. And we don’t see that changing with our installed base. But clearly, the long-term trend is for Atlas to become a bigger and bigger piece of our business. There’s no question about that.
Brad Reback: Awesome. Thanks very much guys.
Dev Ittycheria: Thanks, Brad.
Operator: Thank you. Next question comes from Raimo Lenschow of Barclays.
Dev Ittycheria: Raimo, we can’t hear you, if you’re in mute.
Raimo Lenschow: Sorry about that. Thank you. A question I had is like, as we kind of you talked about the macro volatility, et cetera. What are you seeing in terms of people thinking about migration projects from like the higher costs, Oracle, et cetera, in this sort of environment? Is that a demand driver for you? Or do you see that slowing down because people are just kind of more inward looking, like how do we have to think about that? Because that was something that was kind of really starting to get good momentum.
Dev Ittycheria: No. As we mentioned in our sales QBRs at the beginning of Q2, there’s a lot of confidence about the opportunity to win new business. One of those areas is potentially going after a lot of the legacy tech stacks, who are very expensive, very brittle. And in some ways, this macro environment can be a catalyst for them to potentially re-platform off those legacy platforms. We have many use cases where we should demonstrate 40%-plus cost savings off the existing tech stack and also allows the customer to be on a much more modern, agile and scalable infrastructure. So it’s not going to be the only sales motion we pursue, but clearly, it’s a sales motion that we will – especially at the large enterprise, have a lot of focus on.
Raimo Lenschow: Okay. And then 1 follow-up for Michael. If you think about the changing environment, can you talk a little bit about your approach to investment in the time period? Like how much is the macro environment kind of driving the investment in different parts of the investment? Can you speak to that in terms of like the flexibility that you have here? Thank you and all the best.
Michael Gordon: Yes, certainly. So, I think our general approach to investment has been specifically oriented towards the long term, and we’ve talked about this many times over the years, that we’ve taken this approach to sort of balanced or sustainable growth, if you will. We’re very early on in penetrating our market opportunity. And so it continues to make sense to build out our footprint covered, specifically within the sales and market side. We have very, very thin footprint coverage. We have exceptionally high win rates for transactions when we’re in the mix and we just want to make sure we are in them enough. We continue to like the unit economics and the returns that we’re getting on those investments. And as Dev and I have mentioned many times before, we monitor those very closely and very granularly. That’s not a new or recent behavior at MongoDB, but it’s one that we’ve observed for many, many years. And then on the R&D side, as we’ll talk obviously more about it at MongoDB World, we’re continuing to build out the platform. We have made meaningful investments in R&D and have gotten good returns on those. Those take a little longer to prove out and aren’t quite as easy to model in a spreadsheet. But if you look at, obviously, launching and building MongoDB in the first place, launching Atlas several years ago, now expanding the platform, et cetera, we feel really good about what we’re seeing and the customer adoption. And as Dev mentioned, a lot of our road map is really customer driven. And so we continue to see good returns there. And so we’re not radically altering our perception to try and keep up with either the current market environment or current investor sentiment under the view that we, as the long-term stewards of the business need to have an outlook and our goal is to sort of maximize the long-term opportunity, and that’s what we’re continuing to do.
Raimo Lenschow: Okay, thank you.
Operator: Thank you. The next question comes from Brent Bracelin of Piper Sandler. Please proceed.
Brent Bracelin: Thank you. Good afternoon. First question here, Michael, a little surprised to see Atlas growth, I think, for the fourth straight quarter, remain above 80%. We’ve seen other consumption models start to see bigger moderations. Can you just parse out the durability of Atlas growth across new workloads and then existing workloads? You flagged a potential slowdown that you expect in the pace of new workloads this quarter in self-serve and mid-market. Do you see any sort of big major changes to existing customers that are running on Atlas? Just trying to parse those two parts of the business. And is the consumption durability different for new versus existing? Thanks.
Michael Gordon: Yes. So most of the growth in any given quarter comes from the applications that you have at the beginning of the quarter. And when we talk about sort of the – what we expect kind of cohort behavior, that is what we’re speaking about. There’s very little generally – generalizing, but there’s very little impact that new applications have because those new workloads tend to start smaller unless it’s a large migration or something like that. And so we do those trends that we were describing about that slower growth from the existing applications in self-serve and mid-market in Europe are describing that pattern, that behavior. In terms of looking ahead and trying to apply our best judgment about where do we see things happening in the latter part, the remainder of this year, we’re assuming that self-serve moderation and growth that moved in May from only being in Europe to being in the U.S. We’re assuming that persists. We’re assuming that the mid-market mirrors that behavior in terms of migrating from EMEA to the U.S. and that exhibits that slower growth that we’ve seen in Europe in the mid-market. And we’re also assuming that the enterprise is not immune to these macroeconomic factors, although it’s – they tend to be not as affected as much. And that’s what leads to the impact on the full year. And so that a little more than 1% sequential headwind on Atlas, that’s about $2 million, when quantified and then given, the compounding of Atlas growth rates, winds up being about 4 million to 5 million of an impact in Q2. And when you add in further compounding and then the broadening, as we’re assuming winds up being about 30 million to 35 million for the full year. Obviously, I’d also throw in as you’re starting to talk about kind of durability. Usually that means people thinking about growth rates. We talked about sort of the strength in Atlas growth in Q3 and in Q4 in particular. So the back half of the year also has very strong comparables when you start to think about year-over-year growth rates and everything else. But the sort of underlying fundamentals of Atlas continue to be quite strong. The new business market has been very strong as we win new workloads. And the existing workloads are growing, just not quite as robustly as we’ve historically seen. So hopefully that’s helpful, Brent.
Brent Bracelin: Helpful color, a lot of detail. Just quick follow-up for Dev here. I get baking in risk into the forecast makes a ton of sense, but direct customer growth was still up 45%, added 4,400 new direct customers, what’s driving enterprise adoption so far you’re seeing these sort of change. And I suspect we’ll hear a lot more from customers next week, but what are you hearing on the enterprise side given those metrics there continue to be very strong?
Dev Ittycheria: Yes, so, Brent, what I’d say is some ways what I said prepared remarks, as companies continue embed software into their value proposition, they need to build those custom software applications on a more modern platform that enables them to innovate quickly. We’ve clearly proven that, especially during COVID that the fastest way to have a digital presence is to use MongoDB. We enable a broad set of workloads. So people don’t have to learn new technologies and have a very convoluted backend architecture and for those applications that need, really push the limits of performance of scale, there’s no other platform that’s better. So when it comes to all those things, we feel like we’re really well positioned. And I would tell you that, our sales force is quite bullish about the opportunity to win new workloads for those exact reasons. And that’s why we feel really good about the long-term health of this business.
Brent Bracelin: Got it. Very clear. Thank you.
Michael Gordon: The other thing I would just add Brent, maybe to sort of go back to your other question, just to make sure that it’s clear is that we think about the behavior of new workloads and then the growth of existing workloads. Obviously, the growth of existing workloads is most relevant in the short term. When you think about the long-term impact or the long-term opportunity, the biggest growth driver there is winning of new workloads as you were sort of indicating.
Operator: Thank you. Next question comes from Phil Winslow of Credit Suisse. Please proceed.
Phil Winslow: Hey guys. Thanks for taking my question and congrats on a strong start to the year. You’ve talked about different demands being placed on databases from simple key value lookups to complex analytics, aggregations, aircraft, transversals, et cetera. And in that context, you’ve talked about the industry moving towards the concept of just multimodal databases. Obviously, you’ve had some pretty significant enhancements there at Atlas Search comes to mind, obviously. What are you hearing Dev from customers about is we’re consolidating these multiple data models on MongoDB, especially as let’s say budgets get tied and people look to consolidate vendors. And then Michael in terms of a follow-up, I appreciate the color on self-service and mid-market, but curious, you’ve had a lot of success on these focus, very large accounts, curious what you’re seeing and hearing from them? Thanks.
Dev Ittycheria: Thanks, Phil. So first of all, I would tell you that is core to our strategies to enable customers to run more and more types of workloads on MongoDB. We think the document model is truly the best way to work with data and that we enable so many different capabilities to your point in a key value graph, time series, search, et cetera. And we’re continued to build out the platform, stay tuned for some really interesting and cool announcements next week, hopefully you can attend. And it’s parcel of our strategy. And we think that message is even more relevant and has more resonance in a more challenging macro environment because the cost of learning, managing, and supporting all these bespoke technologies just becomes untenable for most customers. No customer I talk to wants to run, let alone four versus seven or 17 different databases. And so the fact that they can consolidate onto one platform have one elegant developer experience, one unified data, set of data as well as a platform that can scale to support the most demanding requirements becomes very attractive and oh by the way also runs across different cloud providers, right. So they’re not limited to anyone cloud provider or they have a diversity of geographic coverage. So for all those reasons, we feel like we’re really well positioned, especially in environment where these individual point solutions will look far less attractive. Michael, you want to [indiscernible]
Michael Gordon: Phil on your question on the focus – yes, yes, yes. And Phil on your question on the focus accounts we’ve seen very good progress on those. As a reminder, these are accounts where there’s already clear MongoDB attraction. And so the focus here is increasing our footprint within those accounts, right? So this is really about expanding new workloads, gaining additional mission, critical applications, perhaps penetrating other business lines or divisions within the account. It’s something that we’re now in the third year of doing, we’ve continued to expand that to a wider and wider range of accounts and gotten more and more intelligent, but at what prerequisites need to be in place in order to make sure that as we add the additional resources around those accounts, that we can get the most out of those and so far we’ve been very pleased.
Phil Winslow: Awesome. Thanks guys. And see you next week.
Dev Ittycheria: Terrific. Thanks, Phil.
Operator: Thank you. Next question comes from Karl Keirstead of UBS. Please proceed.
Karl Keirstead: Okay. Okay. Great, thanks. Michael, just to put my positive hat on here, you’re absorbing a $30 million, $35 million revenue hit in fiscal 2023, but you raised your full year revenue guidance by $11 million. So that tells me that X the macro impact you’re actually raising by $41 million to $46 million, which is substantially above the Q1 beat and substantially above the full your guidance raise last April quarter. So clearly something’s going very right in the business. So I wanted to ask you what that is, one or two things contributed to that X macro implied raise? Thank you.
Michael Gordon: Yes, thanks Karl. No, we feel really good about the business. As both Dev and I talked about in the prepared remarks, when we think about our – the market opportunity that we’re going after the product market fit of the success that we’re having within accounts, whether that’s Atlas accounts, which obviously get a lot of the headlines, but as you’ve seen over the last probably three quarters, the strength and resilience of VA as well, and people who want to still self-manage and aren’t ready for public cloud adoption regardless of sort of mode of consumption or engagement with us, the MongoDB value prop resonates. And so again, I think it mostly just speaks to the size of the market, the success that we’re having. I always worry about words like inflection or some of these other things, but we’re seeing real traction in account. And I think about the breadth of use cases, the types of workloads, the mission criticality that were being selected for whether it’s a de-novo application or a migration of an existing application speaks to the traction and success that we’re having in the market. And then overlay that with a lot of just good execution in market and it all adds up to a very positive picture.
Karl Keirstead: Got it. Okay. Thanks. And then go ahead, Dev.
Dev Ittycheria: Sorry, Karl. Yes, I just want to add. There is couple other data points. Our software has now been downloaded at least from our site alone 265 million times. That’s more downloads this year than the first 11 years of the company’s history. The second thing is the platform message is really resonating to the earlier question, customers want to consolidate on the leading platform and we’re seeing a lot of interest and demand from customers to consolidate more and more workloads on top of MongoDB. And the third data point is that we’re seeing broad based performance across the sales force. We’re not a sales organization where there’s a 80:20 rule where 20% of the sales people are killing it and 80% are trying to get their first deal. We’re really seeing broad based performance across the sales organization, which gives us really again, incremental confidence about pursuing this large market opportunity.
Karl Keirstead: Great. And then maybe as a follow-up, Dev and Mike, one of the risks that I was trying to evaluate, and I think investors were – was basically MongoDB’s exposure to call it the next gen cloud internet FinTech companies, kind of the loosely, the coin bases of the world. You’re well aware that snowflake called out that customer cohort as you know hitting the breaks on spending and that translated to a usage hit for snowflake. Did that cohort impact your revenue performance in the quarter? And maybe you could comment about your exposure to that group. I think that might be of interest. Thank you.
Dev Ittycheria: Yes. So the short answer is no. We didn’t see any impact from that cohort. I would tell you again, a database or an OLTP platform is very different than a data warehouse where really well aligned to the value that customers derive from their site or their application or their platform. And so there’s a strong alignment there, and we feel really good about our business because it’s highly diversified. We have no real revenue concentration and we have customers, we have to the company you mentioned, we have six times as many more customers as they do. So we’re highly diversified across industries, geos, sectors, and customer segment types.
Karl Keirstead: Okay, great. Thanks for that.
Dev Ittycheria: Thanks, Karl.
Operator: Thank you. The next question comes from Jason Ader of William Blair. Please proceed.
Jason Ader: Thank you. And just to be clear, guys, have you seen any leading indicators or warning signs in the enterprise market? And then beyond usage of existing apps, have you seen any impact on new app starts?
Dev Ittycheria: The short answer is we have not seen any signs – sorry. Sorry, maybe I'll start and then you can add. So the short answer is we're not seeing any impact on the enterprise side and our – in terms of acquisition, new workloads was very strong in Q1. And so on both fronts, we feel good about the business. But again, per Michael's comments earlier, we're not presuming that this macroeconomic impact is just going to be limited to the low end. So we are assuming that there will be some modest impact to the high end of the market.
Jason Ader: Got you, okay. Michael, did you want to say something?
Michael Gordon: No. That was – I would have said the exact same thing.
Jason Ader: Okay. All right. And then one quick follow-up just on the previous question. I know that – talk about some of the fintech and the crypto stuff. But when you talked about May being a little slower in the U.S. kind of in the mid-market, self-serve, do you think some of that is kind of the Silicon Valley, I don't want to say bubble, but just a lot of these start-ups maybe are pulling back and we start to see some layoffs and there's obviously some revaluation going on. Did you see any of that and do you expect that to be a significant headwind?
Dev Ittycheria: Yes. So I would say that the modest pullback in growth rates we saw was not around like pricing or optimization of their infrastructure is really second-order effects of their own app growth. So that's – so it's not about them shutting down apps or them turning off the parts of their infrastructure. It's really moderation of the expansion rates of those applications. Again, databases are not things that you turn on and turn off. And frankly, even if a start-up is having challenges, we will be – I mean, most of the start-ups were built on MongoDB, that's their main business. So the last thing they're going to shut off is going to be the MongoDB application. And again, I want to remind you that our customer base is highly diversified. Our exposure to the – this early stage market is quite low, and again, we would be in the must-have category in terms of expenditures.
Michael Gordon: And just to clarify, Jason, just to clarify what we said in terms of the incremental observations that we've seen from the early May results, are just a self-service started to mirror – self-service in the U.S. started to mirror the patterns of self-service in EMEA, not the mid-market, just to be clear or avoid any confusion there.
Jason Ader: Understood. Thank you guys. Good luck.
Dev Ittycheria: Thank you, Jason.
Operator: Thank you. The next question comes from Kash Rangan of Goldman Sachs. Please proceed.
Kash Rangan: Hi, thank you very much. Congrats on the quarter. I'm curious to get your perspective, Dev or Michael, whoever wants to jump in. When you look at the consumption side of the business and the after-site, what are the sensitivities that you're modeling if indeed we enter a slow economic environment? What's the best way to think about what kinds of industries, maybe that's cut or what kinds of use cases do you anticipate slower consumption growth rates? And how does your model behave in response to those kinds of changes? I mean, are you capped with respect to the downside in the event that those consumption trends start to go south? Or how does your model zigzag with what's happening at the customer level? What degree of installation, do you have to ensure that your business is protected? Thank you so much. 
Dev Ittycheria: Yes, sure. We talked about this. In the end, what really drives the consumption is the underlying behavior of the customer's application. And so there don't tend to be these extreme changes. And if I look back to COVID, which is the early start of COVID, which is probably the greatest point of short-term disruption, even in that period, what we saw was a sort of broad-based but modest decline in the growth rate. And so – and even in COVID, when you had very specific situations as it related to travel and hospitality industries and everything else, we still wound up finding those people needing to pivot and adapt their business. And I remember doing a meaningful deal with a large U.S. airline, which is sort of shocking in those early days and other things. And so I think it's more about broadly mapping the macroeconomic activity as opposed to some much more abrupt shift up or down. I think partly that's the benefit of having a very diversified customer base, not just geographically, not just by industry and size of the company and everything else, but also by application. And so we've talked about this behavior before, the same kinds of things that prevent people from flying drive people indoors and to do more gaming or – so as you have a larger and larger portfolio, you may not be perfectly hedged or perfectly offset, but there's a wide range of different underlying macro factors that drive different use cases in different directions. And again, that's the benefit of having a large portfolio across tens and tens of thousands of customers and across the breadth of use cases. And so I think the best thing to say is that it most closely maps and approximates what we see in terms of underlying application usage, which most directly ties to macroeconomic activity.
Kash Rangan: Got it. Very, very clear. With respect to your model, is there any consideration at all to make the model maybe a bit more subscription-like and a bit less consumption since the economic downturn is at least – a little bit more unpredictability to consumption models? If not, that's totally okay, but just curious to get your perspective on any changes that you might be contemplating.
Dev Ittycheria: Yes. I think for customers, they've – one of the value propositions that they appreciate about cloud products is you only pay for what you consume. I think for us compared to some others, it's not quite as big an issue or as big a disconnect because the value associated with the consumption is so directly tied to the value that they're getting out of the application that, that's – we don't really tend to suffer from some of the divergences that other people do in terms of what happens with runaway consumption and therefore, bills that seem quite disproportionate relative to the value. And so I think it's a fairly, at this point, fundamental part of cloud business models is that you're only paying for what you consume. And so I wouldn't foresee any near-term changes to that.
Kash Rangan: Wonderful, thanks Michael.
Operator: Thank you. The next question comes from Fred Havemeyer from Macquarie. Please proceed.
Fred Havemeyer: Hey, thank you very much. Congratulations on the Q1 results. I wanted to ask about, as I think all of us have asked about consumption trends. But I'm curious to ask about some of the pre-committed trends or consumption plans that we have discussed. I recall that a couple of quarters ago, you had an outsized cohort of customers that decided to prepurchase some substantial quantities of utilization just ahead of their own expansion and net new workload plan. So when we're talking about the consumption trends that you're discussing, of course, in the self-serve channel, do you see any sort of change in the cadence of consumption or plans or expansion or net new workloads that are coming online for those existing customers you have that already had expansion plans in place?
Dev Ittycheria: Yes. Thanks for that. No, in general, what we see for folks who are willing and want to make commitments, there's obviously a high degree of confidence in their deployment and usage, and so we see very robust consumption patterns with those folks. Typically, even when you're on – even when you're committing in excess of current consumption, you're usually not committing in excess of intended consumption. And so whether that's you're the customer and you believe an application is growing or you know you're going to be moving over a bunch of other applications, and so the underlying consumption of behaviors in those customers continues to perform well.
Fred Havemeyer: Thank you. And if I can get one more in here, I'd just like to ask. You also recently launched self-service adoption through or adoption through GCP as another channel. I just wanted to ask, generally, how are those cloud channels progressing across the self-serve marketplaces there?
Michael Gordon: Yes. So we've launched – we're on the console of both GCP and AWS and the early signs are very promising. Obviously allows us to access. As you can imagine, both those companies have incredibly large customer bases and people are on their consoles all the time. So now that when they do a search for MongoDB, they'll see Atlas. And so the early signs have been very promising, and it's just an additive channel for us.
Fred Havemeyer: Thanks, Michael. Thank you.
Michael Gordon: Thank you, Fred.
Operator: Thank you. That concludes our time of Q&A. I will now pass the conference back over to Dev Ittycheria for closing remarks.
Dev Ittycheria: Thanks, Daniel. Again, thank you for your time. I just want to reiterate, we had an excellent quarter. Customers across different industries, geos segments are using MongoDB to run the most mission-critical workloads. Our confidence in winning new business continues to be high. We remain on track to deliver another year of strong growth as well as improving profitability in spite of a more challenging macroeconomic environment. And last but not least, I would like to invite all of you to our investor session that we're going to have on June 7 in New York City at MongoDB World. With that, thank you for your time today. Take care. Bye-bye.
Operator: That concludes the conference call. Thank you for your participation. You may now disconnect your lines.